Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Carrols Restaurant Group third quarter 2010 earnings conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) This conference is being recorded today, Tuesday, 9th of November 2010. I would now like to turn the conference over to Paul Flanders, Chief Financial Officer. Please go ahead.
Paul Flanders: Good afternoon. By now, everyone should have access to our third quarter earnings release, which you could also find on our website at www.carrols.com under the Investor Relations section. Before we begin our formal remarks, I will remind everyone that our discussion today may include forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed on them. We also refer you to our filings with the SEC for a more detailed discussion of the risks that could impact our business and our financial results. On the call with me today is Alan Vituli, our Chairman and CEO; and Dan Accordino, our President and Chief Operating Officer. Dan will provide some commentary on the business, and then I’ll walk through the financial results for the third quarter as well as update you on our thoughts for the balance of 2010. We will then be happy to address any questions that you might have. And now I’ll turn the call over to Dan.
Dan Accordino: Thanks, Paul. And good morning, everyone. Continuing the theme from our last call, our third quarter was characterized by very impressive results in Pollo Tropical, progressive improvements in Taco Cabana, and top and bottom line challenges for our Burger King restaurants. The overhang of our Burger King business was in fact the primary cause of lower earnings compared to the year ago period. Still, we are particularly pleased with our Hispanic Brands, delivered positive comparable restaurant sales and continued to make solid gains and customer traffic count. We attribute that performance to product introductions, marketing activity, and to some degree, the effective elevating bulk brands in certain of our markets. As we indicated on our last call, we are investing at bulk Pollo Tropical and Taco Cabana to elevate the guest experience, as we further differentiate our quick casual brands from conventional quick service competitors. Broadening the appeal of Pollo Tropical and Taco Cabana is an important strategic initiative as we enhanced their positioning and look forward to accelerating expansion. With that said, I’ll now discuss our three brands in greater detail. Comparable restaurant sales for Pollo Tropical increased an impressive 8.8% in the third quarter of 2010, as customer traffic positive for five consecutive quarters was up by robust 12%. We improved segment EBITDA for Pollo Tropical to $7.5 million from $6.3 million and EBITDA margin by a 144 basis points to 15.7%. Promotional activity in the third quarter, including TV advertising, featured our quesadilla wrap and salad launch, an introduction of our Create Your Own TropiChop, which is our line of bowls offered with various proteins. As I mentioned, we are in the process of transforming the Pollo Tropical transact in certain markets to provide customers an elevated dining experience, more consistent with the quality of our food. This is especially relevant to the in-store dining customer. Enhancements include limited table service, new menu items such as sizzling fajita platters, sangria and wine, and real plates in silverware. At the end of the third quarter, we’ve completed 11 of an estimated 12 to 15 upgrades with primary emphasis on our Florida West Coast markets, Orlando and our Northeast locations. In general, sales have responded very well to these changes with average increases of around 10% from the pre-conversion trends. The early traction gives us increased confidence of the brand’s broad appeal and our positioning as we look to future expansion in new markets, the average capital cost in conjunction with this upgrade is estimated to be a little over $100,000 per restaurant. At Taco Cabana, comparable restaurant sales increased 1% in the third quarter, continuing the steady improvement in trends that we have experienced throughout the year. Customer traffic has now been positive for the brand since the fourth quarter of last year. Segment EBITDA for Taco Cabana fell modestly to $6.5 million from $6.7 million, and EBITDA margin was 39 basis points lower at 10.2%, reflecting commodity cost increases along with higher advertising compared to the prior year. Our marketing in the third quarter was focused on our new obsession marketing campaign, which showcases how we prepare our authentic Mexican food by hand in our restaurants. Promotions include the limited time offer of fajitas with Asadero cheese and our new Kiolbassa and egg breakfast taco. We also introduced Build Your Bowl, which provides our customers the ability to better customize our popular Cabana Bowls. Late in the quarter, we also began the promotion of street tacos, which contain grilled marinated steak, fresh cilantro, and diced onions served open-faced on two corn tortillas. Initial results seem to be quite favorable for this promotion, which is continuing into the fourth quarter. We have also undertaken the enhancements of our Taco Cabana restaurants in the Dallas-Fort Worth, including restaurant remodeling and service upgrades similar to what we are doing at Pollo Tropical. Through the end of the third quarter, we have made such improvements in 16 locations with a schedule to complete a total of 25 to 30 this year. The average capital cost for these upgrades is generally around $75,000. Lastly, I will address Burger King. As you’re probably aware, Burger King Corporation’s go-private transaction has closed, and then owners have initially made a number of leadership changes. We anxiously awaited review of the brand’s marketing and promotional strategy, but remained cautious in our near-term outlook due to the challenges facing the brand and particularly the economic pressure and its customer demographic. We are hopeful though that we are nearing the bottom of this cycle. In the third quarter, comparable restaurant sales for our Burger King had decreased 3.2% against the 6.1% negative comparison last year. These negative sales trends coupled with aggressive price-driven promotional activities and higher beef costs resulted in a significant reduction in brand profitability. Segment EBITDA fell to $6.4 million and decreased $2.4 million from the third quarter last year. Specific promotions include the Tony Stewart’s Steakhouse burger and again tie with the movie Eclipse. In late September, the brand also began an expanded focus on breakfast, including its new $1 breakfast muffin sandwich, the BK breakfast bowl, and the completed rollout of Seattle’s Best Coffee. Initial results from the initiatives have been very positive. In summary, although our Burger King performance continued to negatively impact overall earnings for the quarter, we are very encouraged by the continued momentum at our Hispanic Brands. And with that, I will turn it over to Paul to review our third quarter financial results.
Paul Flanders: Thanks, Dan. Total revenues for the third quarter of 2010 increased 0.2% to $201.6 million from $201.2 million in the same period last year, while revenues for our Hispanic Brand restaurants increased 4% to $111.3 million over the third quarter of 2009. Pollo Tropical revenues increased 8.1% to $47.6 million, with a solid comparable restaurant sales increase of 8.8% against the negative 0.1% comparison from the prior year. This was the fourth consecutive quarter positive same-store sales for Pollo. And as Dan said, customer traffic was very strong with more than a 12% increase. Taco Cabana revenues increased 1.1% to $63.7 million, with comparable restaurant sales increasing 1% against the negative 4.3% comparison from the prior year. While margins were modestly impacted by higher commodity and labor cost, we were able to maintain segment EBITDA within about $200,000 in the previous year to $6.5 million. With regards to Burger King, overall sales decreased 4% to $90.4 million with comparable restaurant sales down 3.2% for the quarter on top of the negative 6.1% comparison in the prior year. We also had a net closing of eight Burger King restaurants since the beginning of the third quarter last year. Overall, net income was $4.6 million in the quarter or $0.20 per diluted share compared to $5.6 million or $0.26 per diluted share in the third quarter of 2009. The third quarter of this year included $0.4 million pretax insurance gain or $0.01 per diluted share after tax, while the prior year included a pretax gain of $0.2 million or about $0.01 per diluted share after tax from the sale of excess property. Cost of sales were 29.9% of restaurant sales, up 114 basis points compared to the third quarter of 2009, as Burger King cost of sales increased 214 basis points, Taco Cabana increased 105 basis points, while Pollo Tropical was 112 basis points lower. Cost of sales were most significantly impacted by mix shifts compared to last year, particularly due to the Burger King Dollar – $1 Double promotion and from selling price reductions on the double cheeseburger late last year. In addition, beef costs for Burger King averaged $1.61 per pound for the quarter increased 17.5% from the prior year, further compounded by a 9% increase in usage due to the repeal of our lower priced hamburgers. It’s worth noting though that on a sequential basis, we’ve seen improvements in gross margins at Burger King was about 174 basis points since the second quarter due to the favorable impact of moving the double cheeseburger up to $1.29 from the $1 price point, and to a lesser extent, decreases in beef costs since the second quarter. Restaurant labor cost decreased 11 basis points in the quarter to 29.3% of restaurant sales. Restaurant operating expenses, which exclude running the advertising, were 14.7%, 13 basis points lower than the third quarter of 2009, including a 21 basis point reduction from lower utility costs. The advertising expense was $8.9 million, or $882,000 and 43 basis points higher in the third quarter compared to the prior year. This largely reflected timing shifts from the first half of the year to the third quarter compared to 2009. The advertising increased $377,000 at Taco Cabana, $641,000 at Pollo Tropical, and was partially offset by $135,000 decrease in our Burger King advertising contributions. General and administrative expenses were about $750,000 lower compared to the third quarter of 2009, and as a percentage of total revenues, were 38 basis points lower, reflecting a $1.3 million reduction in bonus accruals compared to the prior year. Lastly, interest expense decreased $141,000 to $4.7 million due to debt reductions of almost $20 million since the beginning of the third quarter of 2009 and to a lesser degree, a drop in the borrowing rate under our senior credit facility last year from 1.25% to 1.00% over LIBOR. At the end of the third quarter this year, total debt was $275.5 million and has decreased $7.6 million from the beginning of the year. Our financial leverage was about the same as last quarter, but has increased somewhat since the beginning of the year due to the decline in earnings. Our financial leverage ratio or debt-to-EBITDA was 3.4 times as calculated for purposes of loan compliance. As has been the case all year, we are not providing specific earnings per share guidance. However, based on results, I’ll update some of our previous commentary and outlook for the full year. First, I’ll point out that the fourth quarter of 2010 and the full fiscal year will have one less week than in 2009, which was a 53-week year for us. Compared to last year, this is estimated to negatively impact revenues by about $13.6 million and earnings by $0.07 per share. For the year, comparable restaurant sales for Pollo Tropical are now expected to increase approximately 6%. Taco Cabana comparable restaurant sales expected to be flat, and Burger King comparable restaurant sales expected to decrease 3% to 4%. Commodity costs are expected to decrease about 2% for Pollo Tropical, to be up about 1% for Taco Cabana, and to increase 4% to 5% for Burger King. General and administrative expense is now expected to decrease 3% to 4% compared to 2009. Total capital expenditures are now expected to be at the lower end of the $40 million to $45 million range previously provided. For the full year, we anticipate the opening of three new Hispanic Brand restaurants as well as the closing of one Pollo Tropical, one Taco Cabana, and seven Burger King restaurants, which is net of one relocation. Debt reduction is estimated to be between $8 million and $12 million. And lastly, our annual effective tax rate is expected to be approximately 37%. I’d also like to provide some insight regarding sales trends in the first part of the fourth quarter. In October, the Burger King comparable restaurant sales decreased about 3.5% from October last year. Pollo Tropical continued to perform extremely well with comparable restaurant sales increasing more than 11% in October. In Taco Cabana, trends also got a little better with October comparable restaurant sales up over 2% from October 2009. That concludes our prepared remarks, and we’ll now open the line for questions.
Operator: (Operator instructions) Our first question comes from the line of Bryan Hunt with Wells Fargo Securities. Please go ahead.
Bryan Hunt – Wells Fargo Securities: Thank you. I’ve got two questions. One, Alan and Paul, I think you all talked about accelerated remodels as well as openings going into 2011. Could you talk about your plans for the cap structure in light of potential increase in capital spending in 2011, with the balance of two issues? And then I’ve got a follow-up.
Alan Vituli: On the surface and in reality, we probably will, at some point in the not-too-distant future, have to add equity to our base. With that said, the capital markets are pretty receptive to any refinancing that we would have to do. So we’re basically looking at the potential recapitalizing, number one; and number two, looking at the effect of using additional equities sometime perhaps in 2011.
Bryan Hunt – Wells Fargo Securities: Okay. And then my second question is, could you just talk about Burger King day part performance thus far in Q4? It sounds like the breakfast day part has done quite well with the additional advertising of the expanded menu and the new coffee. But the same-store sales appear to be decelerating or declining even more in October relative to the Q3 performance. Could you also talk about lunch and dinner?
Alan Vituli: Dan, do you want to take that?
Dan Accordino: Paul has the information.
Alan Vituli: Okay. The issue, of course, is just – Paul, if you would, also help Bryan with respect to what the magnitude of breakfast and its aggregate to our business.
Paul Flanders: Yes. I mean, the breakfast promotion began, I would say, mid-September. So it’s relatively recent phenomenon. During this period, we’ve been running off, I would say, in the breakfast day part, 15%, 16% typically during the period was supported by advertising. It seems to have dropped off just a little bit from there since the last week or so. So it’s been – breakfast has started very well to some of the new products in the advertising certainly. As a percentage of the day sales, I think we’ve moved up from probably what was 13% or 14%, constituting breakfast, we’re up now to about 16% to 17% for breakfast. So the new breakfast menu has responded very well. Obviously, I think to your comment, Bryan, sales trends in general continued to be a little soft, in particular, in lunch and dinner.
Bryan Hunt – Wells Fargo Securities: Okay And then my last question is, there has been a lot of talk about raw material price increases or cost increases going into 2011. One, could you just give us a review on where you think cost can move in 2011 as well as do you think there is opportunity to take some pricing to offset potential inflation? Thank you.
Dan Accordino: Yes. Again, we don’t do the purchasing for Burger King, but our estimate is that commodity costs in Burger King are going to be somewhere around positive increase of about 3%. And in the Burger King world, we’ve already taken some pricing in terms of our ability to offset that. In terms of Pollo and Taco, our commodity cost forecast will be somewhere in the 1% to 2% area, and we also think that there is opportunity for pricing – not only pricing, but also new products that we’ll be introducing that will have margin expansion as well.
Bryan Hunt – Wells Fargo Securities: Thank you so much. Have a good day.
Operator: Thank you. Our next question comes from the line of Jeffrey Omohundro with Wells Fargo. Please go ahead.
Jeffrey Omohundro – Wells Fargo: Thanks. My question, I guess I want to focus on, is on development of the Hispanic Brands, and particularly in thinking about the positioning for an acceleration of growth in 2011. How are you thinking about it, maybe an update on the geography versus what you’ve done in the Northeast? And also update in terms of how you see the calendar – development calendar during the year?
Alan Vituli: Let me try that. There is no question that both Pollo Tropical and Taco Cabana can best be described as sort of brands in transition. Different from each other, but nonetheless in transition. What began as having a limited focus and limited appeal, focused specifically on the Hispanic population and the growing Hispanic population is a strategy that’s now really been in our approach of the business altered. We see clearly opportunities for Pollo Tropical to be a general market brand appealing to non-Hispanics as well as Hispanics. And so our most recent opening was in East Brunswick, New Jersey, where the demographics would suggest that it’s a very, very, very diverse group of folks who live within proximity of that restaurant, many nationalities, and then track pretty light on Hispanics. The store is doing quite well. Our next opening is going to be in Jacksonville, Florida, which is while it shares the same statehood as the other Florida restaurants, Jacksonville is infinitely more like the Georgia market. And we do see ourselves looking in markets like Georgia, like the New England market, and continuing to expand in the Northeast in general, as well as some of the Mid-Atlantic space. Our growth really is going to be constrained by a couple of factors. One, the resources that we are not a franchise brand and tend to be a franchise brand, human resources; capital resources, we think the capital markets should be pretty receptive to our strategy. And – but nonetheless we’re proceeding with care. We’re still adapting the brand, make the Pollo brand a general market brand. We continue to build in the Taco Cabana brand restaurants in Texas with a view toward adapting that brand and coming out of the Texas market. We’ve got significant opportunities still to fill in in the Texas market. We’re under penetrated in a few places. And we’ve indicated earlier that we have two restaurants today in New Mexico. We see Taco Cabana as sort of evolving out of Texas to little slower than Pollo. I hope that answers your question.
Jeffrey Omohundro – Wells Fargo: In terms of Pollo development in 2011, should we think of it as a step-up from this year kind of evenly spread or more back-end loaded as you are working through these real estate opportunities? How should we think about it?
Alan Vituli: The way we are looking at this internally is probably five to ten restaurants. The pipeline is starting to grow, but things tend to get back-end loaded in this business simply as a consequence of the fact that we’ve sort of turned the pipeline down sometime in the end of 2009 and are just starting it up, as we indicated earlier, just because we wanted to get some of our debt off our books by paying it down. And so I think if you think of some sort of five to ten restaurant range back-end loaded in 2011 and (inaudible) humming along, there is not a reason for us to not be dealing in the 10 to 12 restaurant range in 2012.
Jeffrey Omohundro – Wells Fargo: That’s very helpful. And that East Brunswick unit, how do you – what type of AUV do you see that settling out of?
Alan Vituli: We’d like – it's the first unit we’ve opened that uses our new non-Hispanic, non-fast food more than elevated what we’re calling fast casual, but our dinner segment is – in-store dinner is really convenient casual. I believe we are looking at something that’s probably going to settle in at about $40,000 a week.
Jeffrey Omohundro – Wells Fargo: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Carla Casella with JP Morgan. Please go ahead.
Carla Casella – JP Morgan: Hi. My question really based on the pressing on Burger King. I think I may have missed. Did you say the timing of the price increase and the details, whether it’s across the border and whether it’s targeted on to specific products?
Dan Accordino: The pricing was quite in place about six weeks ago, and it generally dealt with value meal offerings and that was $0.05 to $0.10 for each of the value meal offering.
Carla Casella – JP Morgan: Okay. And can you – is there any competitive response that you’ve seen related to that?
Dan Accordino: No.
Carla Casella – JP Morgan: Okay. And I’ve read recently McDonald’s is raising prices for next year. Do you have a sense for as to just target on the same product line and same magnitude, or have you seen anything on that yet?
Dan Accordino: In our competitive markets, McDonald’s – we've always looked at McDonald’s in terms of our pricing, which was one of the reasons that gave us permission to raise the prices. And McDonald’s pricing increases generally will be around their value meals as well.
Carla Casella – JP Morgan: Okay. Okay, great. Thanks.
Operator: Thank you. (Operator instructions) Our next question comes from the line of Mitch Speiser with Buckingham Research. Please go ahead.
Mitch Speiser – Buckingham Research: Great. Thanks very much. On Burger King, could you give us a sense of what the comp was in October of last year?
Alan Vituli: Yes. In October last year, we were negative 5.5%.
Mitch Speiser – Buckingham Research: Okay, thanks. And in October this year, the down 3.5%, can you give us a sense of what the price chapter is within that 3.5%?
Paul Flanders: We’re still lapping the dollar – the conversion of the double cheeseburger to $1 last year. So our average check is still running below the prior years. Third quarter is an example. We were about 2.5% lower when checked year-over-year. So we actually had negative price effectively.
Mitch Speiser – Buckingham Research: In October?
Paul Flanders: Yes. We’re just starting – we're just getting into the pointing of lapping that $1 Double cheeseburger in late October. So, yes.
Mitch Speiser – Buckingham Research: Got it. Great. And then just one last question on price. Once you fully lap the discount from last year, given the pricing that you plan to take this year, what do you think that ultimate price factor might be?
Paul Flanders: Yes. Based on the pricing we just took, probably about 2.5%.
Mitch Speiser – Buckingham Research: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Greg Ruedy with Stephens Inc. Please go ahead.
Greg Ruedy – Stephens Inc.: Thanks. Good morning. I want to follow on Mitch’s question there. Can you provide us the year-over-year comparisons for the Hispanic Brands in October?
Paul Flanders: For October 2009, we were positive 0.8%, and Taco Cabana was negative 3.7%.
Greg Ruedy – Stephens Inc.: Okay. Switching gears to the Pollo Tropical upgrades, what are we looking at before and after in terms of alcohol mix and then that impact to the average check?
Alan Vituli: Let me see if I can put this into the perspective of what alcohol means. I mean, essentially we continue to operate as a quick serve restaurant for lunch with very little alcohol. Obviously, with our business being 60% off premises, you’re down to only to 40% of the business that’s on premises, in which we could sell alcohol. When you look at the relationship of how much of it is lunch, in-store lunch and in-store dinner, you come to conclude that the luncheon customer isn’t really ordering alcohol. So we’re now focused on what might be 22% or 23% of the in-store dinner – being our in-store dinner. And as the amount is almost immaterial, it’s certainly helping us to frame the brand the way want it. And for those who want a glass of sangria, our price points are very low and it’s specifically geared to specific markets. And it’s a long answer to say. It’s material to the business. It’s not – it's barely recognizable in average check, but it is material to our in-store dinner strategy.
Greg Ruedy – Stephens Inc.: Okay. Appreciate that color. Switching to taco, you did mention being able to move out of state. Should we think about that as occurring after you finished rolling out all of the upgrades? I know PFW [ph] has been the focus for now. Just kind of give us an idea on the runway in terms of raising Taco’s profile. And then when can we think about maybe seeing you test it outside of Texas?
Alan Vituli: I don’t think that you’re going to see us out of Texas until, at a minimum, late 2011 and more likely, 2012.
Greg Ruedy – Stephens Inc.: And do you have upgrades outside of Dallas that can be done?
Alan Vituli: I mean, the intent is to elevate the entire brand. Dallas, Houston, San Antonio, El Paso, and Austin will all eventually be upgraded and be repositioned toward this more elevated brand. When I say Texas, I mean, I’m including New Mexico, Albuquerque, where we’ve got a presence already. The upgrades will take – will basically take place throughout the system in Texas and New Mexico.
Greg Ruedy – Stephens Inc.: Thanks for taking my questions.
Operator: Our next question comes from the line of Soraya Benitez with Cougar. Please go ahead.
Soraya Benitez – Cougar: Good morning. Thanks for taking the questions. I just missed that last comment you made about McDonald’s in terms of raising prices. Did you say that was solely around the value meal and that’s where you’re following suit?
Dan Accordino: Yes.
Soraya Benitez – Cougar: Okay. And then just a question on leverage, I think you ended around 4.3 times. I think in the past you said you’ve been comfortable with that kind of leverage. And then you talked a little bit about potentially recapitalizing. Just what’s changed since we’ve spoken last and any color you can give to that?
Alan Vituli: Our targeted leverage – we've always been relatively highly leveraged as we become more of a growth company. Our sense is that while we’ve been comfortable with the leverage, from an external perspective, we’ve been much better served at under three times as a goal in terms of debt-to-EBITDA. So it’s probably not really a change that we’ve never really been on terribly comfortable with our leverage and that we operate that way for so very many years, probably more the consequence of both increasing our intended growth rate and making ourselves essentially look financially more stable and stronger and able to attract the investment capital – equity investment capital.
Soraya Benitez – Cougar: Great. And then just lastly, I’ve seen some very interesting commercials on the Burger King side in terms of an Xbox being given away every 15 minutes or something like that. It just looks really interesting. Do you expect that promo to drive any positive effect to comps?
Alan Vituli: We shouldn’t hope so.
Soraya Benitez – Cougar: Great. Thank you.
Operator: Thank you. (Operator instructions) And there are no further questions in the queue. Please proceed with any closing remarks.
Alan Vituli: As I said, basically a company that is in transition, we recognize that our inventory of business is being a franchisee in the Burger King system and being owner and operator of the two very vibrant Hispanic Brands may appear and probably is somewhat a natural in terms of attracting investors and that it becomes a very high priority for us to make ourselves look a little more natural for the investor public, and we’ll continue to pursue that possibility. We are very bullish on our Hispanic Brands and their ability to provide long-term interesting growth. Our Burger King business, I think, we’re related with the fact that there is no owners and no management. Our sense is that without being able to confirm it, we’ll provide any assurances that the business is pretty close to its bottom, and that the new management should be able to revitalize the brand. With that said, we’ll speak with you again at the end of the next quarter.